Operator: Thank you for joining Ingram Micro's Third Quarter 2025 Earnings Call. I'll now hand the call over to Willa Mcmanmon, Vice President of Investor Relations. Please go ahead.
Willa Mcmanmon: Thank you, operator. I'm here today with Paul Bay, Ingram Micro's CEO; and Mike Zilis, our CFO. Before I turn the call over to Paul, let me remind you that today's discussion contains forward-looking statements within the meaning of the federal securities laws, including predictions, estimates, projections or other statements about future events, statements about our strategy, demand plans and positioning, growth, cash flow, capital allocation and stockholder return as well as our expectations for future fiscal periods. Actual results may differ materially from those mentioned in these forward-looking statements because of risks and uncertainties discussed in today's earnings release and in our filings with the SEC. We do not intend to update any forward-looking statements. During this call, we will reference certain non-GAAP financial information. Reconciliations of non-GAAP results to GAAP results are included in our earnings press release and the related Form 8-K available on the SEC website or on our investor relations website. With that, I'll turn the call over to Paul.
Paul Bay: Good afternoon, and thank you for joining today's call. The third quarter was strong with revenues of $12.6 billion, up 7.2% year-over-year and above the high end of our guidance. Non-GAAP diluted earnings per share was $0.72, at the high end of our guidance despite a small impact from the ransomware incident in July. As I shared last quarter, our team responded quickly and effectively to the incident, restoring operations with minimal business disruption, which is reflected in our results. In terms of market dynamics, we believe we're gaining market share across most regions in the businesses we serve and are encouraged by the growing momentum of our Xvantage digital platform as we deploy it globally. Looking forward, we enter the fourth quarter with confidence in our road map and our guidance, which Mike will detail shortly. During the third quarter, we saw continued momentum across our core business lines and geographies. Enterprise sales remained strong and our SMB customer category achieved a third straight quarter of sequential growth, which is encouraging. Client and endpoint solutions delivered yet another solid quarter while advanced solutions was down slightly year-over-year, though both server and storage posted strong double-digit gains. Networking grew modestly driven by an increase in AI proof-of-concept activity and enterprise, partially offset by tough comparisons to last year's strong virtualization sales. As we all know, enterprise companies and technology vendors alike are navigating the unchartered territory of AI transformation. In the third quarter, the pace of change accelerated rapidly with a wave of new partnerships and investments across the industry. Today, we're seeing enterprise customers at varying stages of their AI proof-of-concepts, mostly on-prem and still primarily focused on the compute layer, often in conjunction with open models. The ultimate goal for these enterprises is to create purpose-built end-to-end solutions using agentic AI, solutions that will redefine their operations, elevate customer engagement and deliver strong returns. We are well positioned to support this customer journey particularly as it moves from early adopters to the broader market. To do this, we've invested ahead of the curve as we did in the early days of the Internet, advanced solutions and cloud. Following the same playbook over the past 3 years, we've been executing a multiyear plan to build an AI ecosystem. We stand at the center of the $5 trillion global technology landscape with more than 4 decades of experience helping customers embrace technology disruption. This, in conjunction with our proprietary AI innovation, puts us in a unique position to lead our customers on their AI journey. We are doing this with our internal expertise through our Xvantage platform alongside our external customer-facing Enable AI program that educates and equips partners to assess, sell and deploy AI. With Xvantage, we're driving real business outcomes from meaningful OpEx reductions to automated top line growth, powered by our intelligent digital assistant, or IDA, which we discussed last quarter. Xvantage was architected 3 years ago with a proprietary AI Factory that supports hundreds of machine learning models across vast data sets. It's not only a growth engine but a learning platform that fuels demand generation for our sales associates and customers. The AI Factory allows us to design integrated solutions that bring together AI, cybersecurity and cloud, which is crucial because collaboration across the ecosystem is critical to unlocking AI's full potential. Many of our vendor partners are now co-creating solutions with other vendors. With Xvantage, we can deliver these integrated bundles through a seamless self-service experience that combines hardware, software, cloud and services. For our customers and vendor partners, Ingram Micro's Enable AI program provides the tools to gauge readiness, sell AI solutions and deliver measurable business outcomes at scale. It provides a structured step-by-step path to AI success through maturity assessments, base camps for foundational learning, growth tracks with leading vendors and access the global centers of excellence. Since its launch in early 2025, the Enable AI program has engaged thousands of customers, supported by our leading vendor partners, to walk through the complex AI opportunity with clarity and confidence. As proof points of the program's early success, AI is the most viewed resource content category on Xvantage by our customers. Additionally, one of the world's largest hyperscalers is using our Enable AI program to simplify customer AI certifications, and a leading GPU vendor is collaborating with us on a multi-vendor AI solutions for key industries. Both these internal and external efforts rely on the accelerating momentum of our Xvantage platform, which is visible in our metrics. In the third quarter, IDA contributed hundreds of millions of dollars of incremental revenue. We also had rapid international adoption of IDA with IDA-driven revenue with non-U.S. operations growing by more than 100% in the quarter. IDA also drove Q3 quote-to-order conversion rates nearly double those of non-IDA engagements. Earlier this week, we announced our first enterprise-grade AI agent built with our Xvantage AI Factory and powered by Google's Gemini large language model. This demonstrates how we are combining our internal AI intelligence, which is more than 400 models strong, with Gemini's advanced reasoning and language capabilities. The new agent, known as Sales Briefing Assistant, introduces a new standard for intelligence: scalable sales enablement in the enterprise. The agent will also help IDA generate better quote conversion driving complementary intelligence for our entire sales life cycle and pipeline. These innovations demonstrated how our AI-first strategy is playing out in tangible measurable capabilities. As we enter the fourth quarter, it's remarkable how much has changed in just 1 year since our IPO. While the pace of change in our industry is staggering, we continue to focus on what always guides our road map, and that is our customers. We understand that our success is dependent upon them, and what matters most is that we enable them to capture and deliver the value to the millions of end businesses they serve each and every day. One of our long-time customers, Mark Sutor, President of Access Group and a Trust X Alliance community member, reminded us of this recently when he said, "In my 32 years in IT, I've never experienced a partnership like the one I have with Ingram Micro. I see my own vision reflected in your innovations. It feels like you're building and iterating with me, not just for me. As an example, with Xvantage, our year-end cloud billing process went from 3 full days to just 3 minutes." At the end of the day, regardless of the sophistication of technology we are enabling, our biggest differentiator is our ability to serve our customers wherever they are in their technology journeys. We are grateful for our customers, our partners and our team members for their dedication and creativity as we transform the B2B experience together. With that, I'll turn the call over to Mike. Mike?
Michael Zilis: Thank you, Paul, and good afternoon, everyone. As Paul highlighted, we had a strong third quarter with results that either exceeded or hit the top end of each of our guidance ranges despite the impact of the July ransomware incident. As discussed on our earnings call in August, the incident prevented us from transacting for a handful of days in early July. At that time, we estimated a potential 1% to 2% top line impact and a $0.02 to $0.04 impact on EPS. With the incident now more than 3 months behind us, we estimate the overall impact landed within a tighter range of 1% to 1.5% of net sales and $0.02 to $0.03 per share. And most importantly, we couldn't be prouder of how our team and our partners around the globe responded to minimize the impact and return to business so quickly. Looking at the third quarter in more detail. Net sales of $12.60 billion were up 7.2% year-over-year in U.S. dollars and up 6.0% on an FX-neutral basis. Client and endpoint solutions grew most notably at nearly 13% on an FX-neutral basis as we continue to see strong demand for notebooks, desktops and related products. Advanced solutions sales were down 4.5% as growth in servers and storage was offset by softer results in virtualization and infrastructure software. We also saw a 4% decline in cloud. However, excluding the impact of one of our noncore divestitures during Q3, our cloud net revenues were up low single digits year-over-year. The year-over-year comparison of our cloud net revenues was also diluted by a higher mix of demand for product sales that are recorded on a net basis. Geographically, we had robust FX-neutral growth in the low teens year-over-year in both Latin America and Asia Pacific regions, while North America growth was more moderate at a bit over 3%. EMEA grew just slightly on an FX-neutral basis as the overall macro environment remains generally softer in parts of Europe. As I scan across our regional segments, solid growth in client and endpoint solutions, and particularly, the desktop and notebook refresh was a common threat globally. Similarly, servers and storage along with cybersecurity were amongst the largest gains within advanced solutions across most of our geographies. We also saw cloud growth in most geographies, most notably in Infrastructure as a Service and modern workplace solutions. Networking growth continues to be more moderated in general, while the softness in infrastructure software that I noted earlier was mostly attributable to a large project that closed in Q3 of last year in Europe and did not repeat with the same timing in the current year. Turning to our customer categories. Our overall mix and year-over-year growth remain more concentrated towards large enterprise customers, but we are also encouraged to see growth starting to accelerate in our higher-margin SMB category, a trend that first started in Q1 of this year. Moving to gross profit and gross margin. Our third quarter gross profit came in at $870 million compared to $845 million last year. The increase in gross profit dollars was primarily related to increased net sales. An improving margin environment, combined with some strengthening in SMB that I just noted, helped to drive a solid 34 basis point sequential improvement in gross margins. On a year-over-year basis, our gross margins were down 29 basis points due to the continued higher sales mix towards our lower-margin client and endpoint solutions as well as a mix within our advanced solutions product categories towards lower-margin server, storage and other AI enablement product sets. These higher growth areas are important to our strategic priorities, in partnership with several of our key vendors, where our wins come at lower margin but deliver strong returns on invested capital and serve as a foundational piece to our AI ecosystem strategy. Excluding sales from vendors associated with large GPU shipments, for instance, that were done on a low margin and low cost to serve basis, our total company gross margins would have been Q3 above 7%. Q3 operating expenses were $646 million or 5.13% of net sales compared to 5.33% in the same period last year. Third quarter operating expenses included a $5.5 million loss or 4 basis points of net sales related to the two divestitures we discussed earlier. The quarter also included $3.5 million or 3 basis points of net sales related to restructuring costs associated with programs to continue optimizing the business, primarily in North America and EMEA. The year-over-year improvement in OpEx leverage reflects continued benefits of optimization and automation from Xvantage, the cost actions we have previously discussed as well as mix factors associated with lower cost to serve categories. Adjusted EBITDA for the quarter was $342 million, up 3% in U.S. dollars and up 2% in constant currency. Our non-GAAP diluted EPS of $0.72, which was at the high end of our guidance range, came in flat to prior year. However, our non-GAAP net income was up 6.0% year-over-year, growing from $159 million last year to $169 million this year. The current quarter includes the impact of the July ransomware incident that I noted earlier. And as we've discussed in the past, our tax rate is also impacted by higher volumes of sales from our Latin American export business, which yields a higher gross margin but also bears withholding tax. This withholding tax impact was $0.03 per share in Q3 of this year versus $0.02 per share in the prior year. Turning to our balance sheet. We ended the third quarter with net working capital of $4.9 billion compared to $4.3 billion to close the same period last year. The higher investment in working capital this year is driven by the increase in net sales and investment needed to capture these opportunities. On a days basis, our net working capital was 32 days versus 29 days in the same period of 2024. The higher ratio of cloud sales recorded on a net basis had an unfavorable impact on working capital days. On a similar note, adjusted free cash flow was an outflow of $110 million, again, reflective of investments to grow the business, although this was better than typical Q3 seasonal norms and improved when compared to an outflow of $255 million in the prior fiscal third quarter. We returned $18.3 million to stockholders through dividends paid during Q3, and we announced a 2.6% increase to our quarterly dividend to be paid in Q4. We ended the quarter with $830 million in cash and cash equivalents and debt of $3.8 billion. Our gross leverage ratio was 2.8x and our net leverage ratio was 2.2x, both of which are roughly flat year-over-year, reflective of our investment in working capital to fund growth, offset by our debt paydowns over the past year. Shifting now to guidance for Q4 2025. We are guiding net sales of $14 billion to $14.35 billion, which represents year-over-year growth of more than 6% at the midpoint. We expect fourth quarter gross profit of $935 million to $990 million, which would represent gross margins of roughly 6.8% at the midpoint. This revenue and gross profit guidance is reflective of some fairly consistent trends in sales mix across products, customers and geographies to what we saw in Q3. We expect non-GAAP diluted EPS to be in the range of $0.85 to $0.95 per diluted share. Our EPS guidance assumes approximately 235.9 million weighted average shares outstanding and a non-GAAP tax rate of 33% for the quarter. In closing, as we look to Q4, we expect to continue our trend of year-over-year net sales growth, and our team remains laser-focused on scaling our Xvantage platform along with other strategic capabilities in which we continue to invest to capture additional market opportunities. With that, operator, we can turn the call over to questions.
Operator: [Operator Instructions] Our first question is from Ruplu Bhattacharya with Bank of America.
Ruplu Bhattacharya: Paul, Mike, you talked about continuing strength in PCs, notebooks and desktops and some weakness in advanced solutions. I think you mentioned one large project that didn't renew. I think you said it's a timing issue. Given the dynamics that you saw this quarter and what you see for the December quarter, how should we think about margins going forward, either gross margins or operating margins? Do you think the trends can get better? And how does the mix of SMB versus large enterprise, how does that impact margins? If you can give us any color there. And I have a follow-up.
Michael Zilis: Yes. Ruplu, this is Mike. I can start on that and then Paul can add for sure. So what you can see implied in the guidance that we gave on gross profit and revenue is still margins in the high 6s, around 6.9% at the midpoint. That would be still -- or 6.8%, I guess, in the 6.80s at the midpoint. So I think that's still looking at sort of seasonal norms where we see a little bit of a trend of more mix of the higher volume products that we usually see in the spike in Q4, but still less seasonal differential sequentially than what we normally see. And a lot of that is probably seeing the continued strength in SMB that we've seen gradually building over the last couple of quarters, which is very encouraging for us, of course. We see the advanced solutions, as you just called out from our comments, really more of a timing thing on one large project and a difference in virtualization from a year-over-year perspective. But we continue to see solid growth in servers and storage and we see the opportunity to continue to pursue some of the large GPU deals that we called out, which obviously could be a little bit dilutive from a margin perspective. But then lastly, cloud we see growing at a more robust level in Q4. So what's implied in our guidance from a growth perspective is client and endpoint probably more in the mid-single digits with still some legs on the desktop and notebook refresh. We see advanced solutions growing in the lower single digits and cloud growing mid- to upper single digits. And that's what's built into our guidance. Anything you want to...
Paul Bay: I'd just say it's a geography mix again, too. So we continue to see Asia -- this is Paul. We continue to see Asia Pacific performing very well as a percentage of the overall business as we call out. It's a lower margin but a lower cost to serve also.
Ruplu Bhattacharya: Got it. Mike, for my follow-up, if I can ask a little bit on inventory and free cash flow and cash conversion cycle. It looks like inventory sequentially went down a little bit. But as the hardware categories are recovering, how should we think about the pace of inventory reduction? And should we assume the fourth quarter also is a negative free cash flow quarter as you prepare for the first half of next year? So any color on how we should think about working capital and free cash flow going forward.
Michael Zilis: Yes. So one of the things that we talked about in our last call is how we exited the end of Q2 with a little bit of buildup of inventory, which was mainly related to some large projects that we're going to sell through in Q3. And that did happen as expected, and that's what's contributing a little bit to the sequential decline you just noted and also a lower than normal seasonal investment into working capital in Q3, where we usually are stocking for the kind of the hockey stick that we see in Q4 sales. Now I would point you -- we don't give guidance on cash flow and balance sheet, per se. But I would look towards last Q4, where you can see we had quite a sizable positive cash flow in that quarter. And things would point to a very similar sort of trend dynamically as far as where we see the business mix between hardware, software and demand as we look at Q4 encompassing the mix factors that I just mentioned in answer to your first question. So we should see a solid cash flow quarter in Q4.
Operator: Our next question is from Erik Woodring with Morgan Stanley.
Maya Neuman: This is Maya on for Erik. Two questions from me. Maybe just to start, on the traditional hardware side, we've seen PCs growing for multiple quarters now, servers growing as well. Where do you think we are in the cycle kind of across those key like product markets?
Paul Bay: So this is Paul. So thanks, Maya. Still seeing good trajectory on the desktop, notebook refresh. We're in the second half of kind of the refresh. But as we sit here today, we're still seeing good demand, not to the extent that we saw in the first half of the year. As you know, as we talked about coming into the year, it kind of progressed very quickly. So I would say we're in the back half or the later innings of the PC refresh. And if you look at server, that was a very good performance for us in the quarter within our advanced solutions. Networking still had growth. So there is still some of the refresh going on as we talked about previously some of the other categories, but there's still some legs to be there for those categories also.
Maya Neuman: Got it. And then given what we're seeing in the memory market right now, in prior periods of component cost inflation, have you historically seen customers trying to pull forward spend to try and get ahead of rising component costs? Is this a topic in any conversations that you're having?
Paul Bay: Yes. This is Paul again. No, we haven't had any of those conversations at this point in time in terms of pull forwards or from a pricing perspective. It's been pretty traditional from what we're seeing.
Operator: Our next question is from David Paige with RBC Capital Markets.
David Paige Papadogonas: Congrats on the great results here. I wanted to focus on Xvantage. It was good to hear the momentum with Xvantage, with IDA. I was wondering if you could help frame where the benefit Xvantage is being felt the most. Is that on the SMB side or more enterprise clients, customers using it? And maybe just help us frame like where the actual tailwind from the momentum is coming from.
Paul Bay: Yes. David, this is Paul. So thanks for the question. So there's three phases really Xvantage. The first one is all about taking out friction, call it, cost to serve. The second phase is around demand generation, and the third phase is around using data and insights to help our partners drive profitable organic growth. And so what we're seeing is, to answer your question, within product category, actually it's across the board. Enterprise is using it for different reasons than SMB. SMB Is where they can really manage their whole business. So if you look at one of the things that we have talked about in terms of the benefits of this is you have a single pane of glass, one place to come where you have the customer, you have the vendor and you have our team members. And within the customers' visibility, there's multiple different personas that they can have in there, so effectively allowing small to medium-sized businesses operate and run their whole business. And that's one of the reasons that we continue to talk about our integrations hub or XI, which allows them to tie into their professional services platforms. And stuff they used to take minutes and months, they actually can do at the click of a button now into their ERP systems. We've given a couple of examples of that. Enterprise partners are using it, but it's more for the traditional pricing availability, partner lookup, does this go with that type of functionality.
David Paige Papadogonas: Great. That's helpful. And then just to revisit the PC refresh cycle. I know you said maybe mid- to later innings. But looking ahead to '26, do you see maybe AI-powered PCs extending the cycle as people try to upgrade so the hardware could support more compute power that's needed for AI?
Paul Bay: Yes. We're still in the early part of the cycle. What we see, and you've probably seen some of the other industry, people that play in this space or our vendors, probably 25% of our PC shipments today, refresh, is an AI PC. So that's still a low percentage. So that does, to your point, give a potential for a longer, smoother refresh kind of driven by AI PC. So I think it's still yet to be determined because the refresh we're still getting today -- because of only 1/4 of the PCs going out from an AI perspective are really around aged systems and the Windows' end of life. So it's yet to be determined. I think we'll know more kind of at the beginning of next year how AI could potentially provide a longer, smoother refresh cycle into 2026.
Operator: Our next question is from Logan Katzman with Raymond James.
Logan Katzman: This is Logan on for Adam. I just had a question. As we exit this year, what are you guys hearing from customers about a potential budget flush exiting 2025? We've heard from a couple of people that it may be there this year, but I just wanted to get your guys' thoughts.
Michael Zilis: Yes. This is Mike. I can hit a first pass at that one. I don't think we're necessarily seeing anything abnormal there. I mean, that is part of the reason we typically see a seasonal pop in revenues is budgeting cycles in Q4. And you can see again a pretty healthy sequential increase in our guide going from Q3 to Q4 that would be reflective of that. I think the bigger variable this year is just how strong will SMB be where, again, we're encouraged to see spending grow. And that budgeting cycle exists just as prominently at an SMB customer to different magnitudes as it does in an enterprise customer. So that would be probably the only variable. But I think we feel pretty bullish that it's a fairly normal cycle in that regard when we look to Q4.
Operator: Our next question is from Alek Valero with Loop Capital.
Alek Valero: This is Alek on for Ananda. Just two quick ones. So I wanted to ask about the biggest catalysts that we can look for over the next 4 to 6 quarters.
Paul Bay: This is Paul. As we mentioned in our prepared remarks, the things that are going on, what we're hearing from a market perspective are a couple of things. One, it's around services that the partners are continuing to build out. The other one, the other two that we're talking about, and you saw us make an announcement is around AI. What is AI, how do you monetize the AI, the spend that's going on in AI right now and then security kind of wrapped around everything. We also believe as kind of AI continues to develop, we have the opportunity to continue to take those products that are now proof of concepts. And as they go, and we're seeing some of the workloads go to the cloud and we have some of the large relationships with the hyperscalers, so the ability for partners to take what I would call proof of concept into kind of your everyday kind of downstream into the market, so wrapping services around it AI tied in with security.
Alek Valero: Got it. And just a quick follow-up. Have you guys heard anything from the bars regarding any feedback around macro?
Paul Bay: This is Paul again. Actually, if anything, it's been more encouraging. As we mentioned, last year we were talking about the challenges in SMB. And the fact that we've had 3 quarters now with SMB growth is encouraging because that market is normally the one that bounces back least. And we've been talking about kind of the enterprise for the last couple of quarters. So the good news is we're seeing sales. And within the SMB sales, we're seeing it across all categories, too. So it's not just centered around one category. So the cloud, networking, cyber and desktop, notebook, they're participating across all categories too. So that's encouraging also.
Michael Zilis: Yes. Look, the one thing I would just add on that, we've called this out in previous calls when we were seeing the SMB strength. Our view, which isn't too uncommonly shared view from an economic perspective was that certainly tariffs and inflationary environment were creating probably a little bit more overhang, as Paul just alluded to, especially on that SMB space. So that was definitely the more sensitive part of our customer ecosystem to that environment. And as we see inflation temper back a little bit, more certainty around tariffs, interest rates coming down yet again yesterday with the Fed move, and we'll see what happens after this, those are all pretty encouraging signs that again make us a little bit more bullish about that category of customer for sure.
Operator: Thank you. At this time, I would like to turn the floor back over to Paul Bay for any closing comments.
Paul Bay: All right. Thank you. So before we wrap up, let me just leave you with a few thoughts from our quarter. First, we delivered strong financial results with all key metrics at or above the high end of guidance, and we are set up for a solid Q4. Second, our AI and platform momentum continues to build. Xvantage is scaling globally and delivering real value while our Enable AI program is gaining traction. Additionally, as you heard, we introduced our enterprise AI agent built on Google's Gemini large language models this week. Third, our profitable growth is broad-based across all geographies, business lines and customer segments. And finally, we're excited to welcome over 2,000 participants next week at our global ONE Innovation Summit in Washington, D.C. It's always great to connect with our team, our partners and our industry leaders to shape what's next in technology. So as always, thank you for joining us today, and a huge thank you to our more than 23,000 team members, our customers and our vendor partners for your continued support. We look forward to catching up with many of you here in the very near future. Thank you, and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.